Operator: Good morning and welcome to TELUS Corporation First Quarter Conference Call. I’d like to introduce your chairperson, Mr. John Wheeler, Vice President of TELUS Investor Relations. Please go ahead sir.
Presentation:
John Wheeler, Vice President of Investor Relations: Thank you and welcome to the call. Let me introduce the TELUS executives online with us today. They are Darren Entwistle, President and CEO and Bob McFarlane, Executive Vice President and CFO. We will start with introductory comments by Bob, followed by a question and answer session with Darren and Bob. The news release on the First Quarter financial and operating results and detailed supplemental investor information are posted on our website at www.telus.com. In addition, the presentations and webcast of the TELUS annual meeting held yesterday in Vancouver are posted on the same website. For those with access to the internet, slides are posted for viewing at www.telus.com/investorcall. You will be in listen-only mode during the opening comments. Let me now direct your attention to slide 2. The forward-looking nature of the presentations, answers to questions and statements about future financial results and guidance are subject to risks, uncertainties, and assumptions. Accordingly, TELUS’s actual results could differ materially from statements made today, so do not place undue reliance on them. I ask that you read our legal disclaimers and refer you to the risks and assumptions outlined in our public disclosure and filings with Securities Commission in Canada and the United Stated. Now, over to Bob on slide 3.
Robert G. McFarlane, Chief Financial Officer and Executive Vice President: Thank you John. Good morning everyone. Since Darren provided a comprehensive overview of our strategic plans and progress, in addition to my review to Q1 results at our AGM yesterday, today I will review results in order to provide additional color and detail, then provide an update on some operational developments before turning the call over for questions. Overall results were again driven by excellent wireless performance; so let me begin with our wireless operations on slide 4. Wireless operations were up an impressive 17% in the first quarter from strong subscriber growth and high ARPU. EBITDA also increased 17% despite higher gross additions and higher cost of acquisition. With stable capital expenditures, this led to a notable 20% increase in wireless cash flow. As shown on slide 5, wireless net adds were up 15% to $93,000, our highest first quarter result in five years. Our overall subscriber mix remains an industry leading at 81% post-paid. Continuing the trend, our crews have been up across the Canadian side as shown on this slide. The $2.00 year-over-year increase in TELUS’s ARPU was driven by increased customer usage, including significant growth in wireless data. Wireless data accounted for $3.71 of our ARPU in the first quarter, up and an outstanding 85% from $2.00 flat one year ago. TELUS continued its profitable growth strategy, as evident by slide 7. Our already low churn rate declined 12 basis points to 1.33%. Both 4 points of this change was a result of the one-time impact from a change in post-pay deactivation policy. Regardless of this, underlying churn what is seen as an 8 point improvement. Even more impressive are our post-pay churn declined under 1% at 0.99% to be exact. Coupled with increased ARPU, the average lifetime revenue per TELUS subscriber was up 13% to $4,500.00. As shown on the next slide, this compares very favorably to our peers. Cost of acquisition per gross addition did increase to $429.00 due to increased advertising by TELUS. But more importantly, due to continued intense competitor activity across the industry, especially in handset pricing, particularly in regards to the RAZR handset. However, in order to address increased handset subsidies, TELUS raised the price on our Motorola RAZR by $50.00 effective last week. Despite higher acquisition costs, TELUS’ wireless marketing efficiency is shown by COA at 9.5% of lifetime revenue and remains very attractive demonstrating TELUS’ profitable growth, focus, strong post-paid positioning, and healthy prepaid franchise. Now, let me turn to our wireline operations on slide 9. Wireline revenue declined slightly reflecting industry wide trends of increased competition, rate regulation and long distance revenue erosion. Wireline EBITDA decreased 10% as a result of lower revenue, higher costs associated with increased high-speed Internet additions and expenses related to clearing backlogs and improving customer care. We continue to progress on the transition stemming from the labor disruption which ended late last year and our plans entail improvement on our wireline financial performance during the rest of the year, consistent with our guidance. Notably, efforts in this quarter led to improved CRTC quality of service metrics, which are in nearly all cases now, better than prior to the labor disruption. Capital expenditures were 21% higher this quarter as TELUS incurred investments deferred in 2005 due to the labor disruption. This also reflects our resolve to invest in broadband capabilities for new applications such as TELUS T.V., as well as the conversion and integration of legacy billing systems. As a result, cash flow in our wireline segment declined over the previous year. Slide 10 provides TELUS wireline revenue profile by component product. Data revenue growth of 4% is the highlight here, although this is lower than recent quarters due to a decline in data CPE sales, and slower growth during the quarter in our non-ILEC region. The impact of the CDNS regulatory decision has somewhat distorted reported local and data revenues, which we’ll look at on the next slide. Other revenues continued to be pressured by lower CPE sales. Slide 11 gives a better indication of the underlying growth rates for local and data revenue components normalizing for one-time regulatory items in the first quarter of 2005, and the recovery from the price cap deferral account offsetting mandated discounts for competitor digital network services, or CDNS for short, local revenues would have declined only slightly. Normalizing data revenues for the impact of a regulatory CDNS impact, data revenues were up just over 2% for the reasons previously mentioned. Turning to slide 12, building offers success in the fourth quarter, TELUS added 39,000 high-speed Internet subscribers, up a notable 74% from last year due to strong marketing programs, increased distribution and reduced churn. Our high-speed Internet subscriber base is up 13% from a year ago to 802,000, bringing our total Internet base, including dial-up to more than 1 million. This is a key element of our data growth strategy, and future friendly home initiative. With a strong quarterly achievement, we were pleased to announce yesterday that we are revising are 2006 annual high-speed Internet net additions guidance upwards by 25,000 to more than 125,000 net additions. So, overall, on a consolidated basis, TELUS exhibited a good revenue growth in the first quarter, up 5%. EBITDA increased 1%, which was much lower than our annual target, and driven by wireless, but negatively impacted by the challenging wireline environment. And although earnings per share or EPS was down 10% on a reported basis, we’re normalized for one-time item as detailed on the next slide. The underlying EPS growth was actually 20%. Free cash flow was $640 million, up 13% in the quarter, benefiting from a $122 million in cash tax recoveries. For those of you who may want more detail on cash flow, please refer to the slide detailing the various items of free cash flow in the appendix to today’s presentation. Slide 14 shows that while EPS was down 10% on a reported GAAP basis, we’re normalized for the 15% positive one-time impact in the first quarter of last year for tax settlement, and the $0.02 positive impact for retroactive regulatory decisions. The underlying EPS growth was actually 20%. Next, in regards to our share buyback program, in the first quarter we’re again active in the market purchasing 5.1 million teleshares or $232 million. By the end of Q1, TELUS agreed purchase for cancellation a total of approximately 6.4 million shares, representing 27% of our updated NCIB program. Separately, effective May 1st, TELUS has implemented a net equity settlement feature. This means that we will issue shares only for the in-the-money portion of management portions, rather than the full amount, which will of course reduce the number of shares issued, and hence limit the dilution caused by offshoot exercises. As you can see on slide 16, our robust cash flow and subsequent debt repayment has put us well within our debt policy target. In fact since Q1 of last year we have received credit upgrades from all four debt-rating agencies. In February, TELUS took advantage of interest rates by entering into forward-starting interest rate swaps, de-locking interest rates for up to $300 million of future replacement debt. We are in the advantageous position where we are considering refinancing all or a portion of our U.S. dollar notes due June 1st, 2007, in advance of the schedule of maturity. With regards to other areas, the past few months have been busy on the regulatory front. In February, the CRTC determined that the majority of the accumulated liability in the deferral account be used to personally fund initiatives to expand broadband services to rural and remote communities. In addition, no additional amounts are to be added to the deferral account beginning June 1st, and are instead to be dealt with via prospective rate reductions. In March, the Telecom Policy Review, or TPR for short, panel presented its recommendations to the Minister of Industry in a 350-page report. Some of the key points are highlighted on this slide. TELUS is generally satisfied with the recommendations and reforms recommended and encourages the federal government to move quickly to implement the major recommendation in this report. Turning to slide 18, in April the CRTC accepted the criteria for deregulation of local exchange telephony services. While there should not be any winback restrictions, at least they were immediately reduced to 90 days from one year. However, the process put in place for achieving forbearance is, in TELUS’s view, a cumbersome and lengthy one. TELUS believes that the complexity and heavy-handed regulation inherent in this decision is in sharp contrast to the recommendations of the Telecom Policy Review. Finally, in April the CRTC rule that mobile television broadcasting will not be regulated, as such services are delivered over the Internet and fall under the existing new media exemption order. This exemption order means that TELUS has the flexibility to continue to develop its mobile T.V. service to meet market demands without regulatory impediments. In terms of other operational developments, turning to slide 19, during the first quarter, TELUS focused on efforts to clear service backlogs and improve our quality of service metrics as defined both by the CRTC, and perhaps more relevantly, our own internal standards. This was a logical move following the end of the labor disruption and formed part of our successful back-to-work program. Turning to slide 20, we continue to make progress towards our efficiency goals with the closure of some offices in B.C, as well as the contracting out of specific non-core functions, as set out as part of our new collective agreement. The integration of our wireline and wireless operations continued, and TELUS’s legal entities were merged into a single entity on March 1st. in April, TELUS acquired Assurent Secure Technologies, a Toronto-based electronic security provider and Canadian leader in the IT security technology. This was a tuck under acquisition and augments our capabilities in the growth areas of data and IT security. Assurent’s 55 employees are now a key part of TELUS business resiliency services with TELUS Business Solutions. Turning to slide 21, in terms of other growth areas, TELUS expanded its wireless high-speed service to a total of 12 communities. Newly launched areas include Whistler, Fort McMurray, Hamilton, Ontario’s Golden Horseshoe, Ottawa, Quebec City, Mont-Tremblant, and Saint Joveit. We also continued the gradual phase launch of TELUS T.V., and we now have a large library of first-run movies and offer more than 200 digital channels. Interestingly, in our Alberta phase launch, we recently surpassed a key milestone with more commercial subscribers than employee customers. In January, we began the construction of our B.C. head-end to join the existing center in Edmonton, both servicing customers in the two provinces and providing redundancy to each other. We now announced that team members in B.C.’s lower mainland are set to begin trotting TELUS T.V. with a commercial rollout in select cities targeted for later this year. To conclude in slide 22, TELUS’s guidance for 2006 reflects strong growth across the board with revenues, EBITDA, EPS and free cash flow. Originally said in mid-December of 2005, we were pleased to reiterate our financial guidance yesterday. However, as mentioned, reflecting our Q1 success, we made one upward revision to our guidance in respect to our high-speed Internet net adds and now expect more than 125,000 in 2006 reflecting positive results. With that, Darren and I would be pleased to answer your questions, so I will turn the call back over to John Wheeler.
John Wheeler, Executive Vice President of Investor Relations.: Thanks Bob. Before I turn the call over to Alice to conduct the Q&A, can I ask your cooperation for one question at a time please? If you do need a follow-up question related to that answer to your first question, that is appropriate, so we’ll have Alice proceed with the Q&A.
Operator: Thank you Mr. Wheeler. To ask a question, please return to your handset, if possible, and then press the numbers 01. If you wish to withdraw your question, press the # sign. If you have any questions, please press 01 now. We have Greg MacDonald, National Bank Financial, go ahead please.
Greg MacDonald: Thanks, good morning guys. Bob, I’m aware of your comments historically on the appropriateness for trust structures for this industry, but some things have changed, I mean Alliant announcing a trust conversion, potentially indicating a greater willingness on the part of the government to accept this structure. I wonder, given the fact that the company is approaching cash tax situation at some point soon, have you given any thought, or have you changed your mindset at all on this type of structure? I’m not even necessarily referring to a full trust conversion, but how appropriate is this type of structure perhaps for rural access lines in your view?
Darren Entwistle: Greg, I’ll take the question, and then I’ll hand over the question if he wants to add additional color. To be very explicit in terms of a hybrid trust structure, we don’t think that’s the right operating model to proceed with. We think it drives undue complexity into the organization from an operational perspective, which would frustrate our ability to realize our strategy in full, and it would turn this organization more told a holding company structure, where those are dynamics that again we are not particularly well disposed to. Next thing I think would be appropriate to say is that whilst an income trust by the board is not presently under contemplation, and I do not see that changing for the foreseeable future, I think it is important to point out that this is a leadership team, and a board that of course will always be open to opportunities to maximize shareholder value. We do not take a myopic view of the future, and we are not arrogant in terms of our disposition, so we think it is incumbent upon us to always evaluate opportunities to enhance returns to shareholders. The other thing I think is worth pointing out is the track record of this organization. We, in terms of the way we spend cash, do not have a track record of spending our money or our shareholders money off strategy or outside of our core business. The other thing that I think is worth pointing out, is that to the extent that we have surplus cash over our uses for cash, I think we have an excellent track record of returning cash to shareholders through a variety of mechanisms that are quite attractive. The other thing that I also want to point out is that it’s lost the rationale for emerging our wireline and wireless businesses, was entirely strategic and operational. There is an ancillary benefit that through that legal merger, we will enjoy the benefit of being able to defer, moving into a cash tax payable situation until 2008. Again, that is an attribute of the trust that we are achieving operationally and legally within the TELUS fold. So, again, our position is as stated, but again as we go forward and as our strategy evolves, it’s incumbent upon the management team and the board to always review future opportunities.
Robert McFarlane: I concur with Darren’s comments. I think just to put a different twist on it, certainly we have a very coherent and well performing strategy that we’ve executed towards, and so we are certainly in no need of financial engineering type of approaches in order to spur our stock price up. We will get that just through executing against our plan. So, I think that lends further support to Darren’s position that a hybrid type of approach certainly is off-strategy and would be inconsistent with TELUS’s approach. Having said that, of course I support Darren’s position that management should always be aware of alternatives from the long-term perspective and income trust certainly is a developing trend in Canada and we will keep our eye on that.
Greg MacDonald: Thanks guys, those are all valid views. If I could add just one quick follow-up. Is it the case now that you are cash-taxable in mid-2007, and now that gets delayed to 2008 in terms of the actual payment of the cash, the double taxation now in 2008 in terms of payable, is that how it works?
Robert McFarlane: Yes, that’s right Greg and that’s because like an individual, you elect to pay on your current or prior year, so next year we will elect to pay on a prior year basis, which means we don’t pay in 2007, and we make those installments in 2008 along with the regular 2008 installments.
Greg MacDonald: And is it mid-2007, could you give us a timeline as to when you actually start becoming cash taxable?
Robert McFarlane: I won’t give an exact date, but it’s during the year.
Greg MacDonald: Great, thanks very much.
Operator: Next question is Vince Valentini, TD Newcrest. Go ahead please.
Vince Valentini: Thanks very much. I was wondering if you can provide any color or quantify the cost for clearing the backlog in the customer service improvements in the first quarter, and in addition, do you expect those costs to recur into the second quarter?
Robert McFarlane: Vince, where it really showed up with was an unusually high level of overtime, so we incurred significant overtime costs in our ILEC territories, which was principally related to two things. One was catching up on clearing two backlogs on service orders and the like that were remnants of the labor disruption. Secondly, as you can imagine there’s a lot of work activities in terms of whether it be maintenance or otherwise that are non-capitalizable that were deferred if you will from the third and fourth quarters. So, that showed up in the first quarter, and I think that a measure of that, and you can look for yourself, is when you go to the CRTC quality of service indicators. We’re operating at extremely high levels now, and we’re very pleased with the level of customer service. So, that was a priority for us obviously in terms of coming out of the labor disruption, our back-to-work program. We are also doing a fair bit of in sourcing, where we had some large contracts such as the Hamilton Health Region, which started to come on board in the first quarter. So, in those types of situations, you tend to incur the cost upfront in business outsourcing, and as you work through the process, you have cost downstream for the benefit of the client as well as ourselves. That was also showing. The last point, I guess which hopefully is non-recurring, though we seem to have a stream of weather-related things. If you live on the west coast, you would have lived through the wettest winter that I can recall, certainly setting a record for rainfall, etc. So, we had a significant number of weather related repairs, particularly in B.C. during the December, January, and early February period.
Vince Valentini: Just to follow-up on the portion of my question on Q2, and maybe put a finer point on it. The wireline EBITDA, as you noted, was down 10% in the first quarter, the guidance is for flat negative 3%, so are you assuming in your guidance that some of these cost pressures in the first quarter start to diminish in future quarters?
Robert MacFarlane: Yes, potentially by reinforcing or reiterating our year guidance, we’re sending the message that we still believe we will achieve, in this respect, the wireline guidance for the year, and therefore you are going to see improving revenue profile through the balance of the year.
Vince Valentini: Okay, thank you.
Operator: Thank you, and the next question will be by Dvai Ghose of Genuity Capital Markets, go ahead please
Dvai Ghose: Yes, thank you very much and good morning. Just following on Vince’s question about impacts on margins and what’s recurring and what’s not. If I look at the COA, both on wireless, and you don’t break it out for DSL, but it’s seems to have increased in both cases as you mentioned. In the case of wireless, while it’s true that the lifetime revenue per sub has increased, the actual COA to lifetime revenue per sub has actually increased, which is probably not the best thing. So, I’m wondering, to what extent is the COA and wireless temporary associated with the launch of SPARK with the aggressive raise of handsets across the quarter, and to what extent should that come down? Similarly on the DSL side, to what extent were the initiatives in terms of free IPODs and flat-screen panels, and so on, related to post-strike activity to re-launch the product verus a recurring drag on margins going forward?
Robert McFarlane: Well, Dvai in terms of COA, you are obviously correct that COA went up. You are also correct that COA, as percentage lifetime revenue, increased modestly I might add. However, at 9.5%, if you calculate it for the rest of the industry, or even on a North America basis, you’ll find that if that isn’t the best ratio, it’s one of the best ratios. So, it’s significantly superior to our competitors. So, from that perspective, if you look at COA as an investor we are certainly reaping a high return on that investment. I think that is the relevant point. Having said that, the first quarter was unusual. Typically in the wireless arena, you have one major mass-market campaign if you will, and in Q1 we had two, we had broadband on the fly and we had SPARK. So, to an extent, what’s a little bit different about these campaigns is that they are promoting the adoption of data services, particularly if you look at broadband on the fly; it’s creating an awareness in adoption services, which may lead to PDA purchases. But, to a significant extent, it leads to adoption of data services or awareness outside or independent of the purchase of a new handset device or a new subscriber. So it isn’t so much new subscriber orientated, it serves as adoption orientated. Consequently, when we look at COA divided by subscriber unit addition, it leads to higher inflated results than otherwise. So, I think another measure of success, at least in those campaigns, since they were data related is our data ARPU, which of course being up over 80% year over year, certainly we are starting to get some good traction, and we have a lot of road to improve, as I’m sure you would add relative to other carriers. But, we are certainly making progress in that regard. So, to really sum up here, we think that the COA was justified in ROI approach. There were some unusual elements that would be atypical in terms of having two campaigns in the wireless front in one quarter, so one would expect to see some moderation. But the other principle to it, that being handset subsidies, quite frankly relates to an interplay between the carriers, and there has been significant competitive action in regards to handset subsidization, which as you know, we did not lead. When Rogers has differentiated products, like the RAZR in the fourth quarter, and they lead that as a discounted product, yet obviously it forces Bell and TELUS to respond in a certain fashion. So, we tried to show some leadership last week by raising the price of the RAZR, but lo and behold, Rogers has arrived with a new handset with a significant discount leading that as well. So, it is difficult. We are trying to be responsible at the end of the day for investors. They want higher returns than we’re already getting in wireless. In conversations with the GSM provider who’s got a discount brand in five of those areas, leading with handset subsidies may benefit all carriers. But, until that behavior changes, you can see TELUS is being aggressive in response.
Vince Valenti: What about the internet COA, Bob, was that material really in the quarter, and does that come down, do you continue to offer IPODs and so on, going forward?
Robert MacFarlane: Well, in terms of the Internet, if you go back from point of context to labor disruption, we were clearly inhibited in our marketing. We came out of that with a surprisingly good fourth quarter, which was quite back ended, as you can imagine to the period after the labor disruption. It’s a strategic area for us, where it is the forerunner of being able to provide other applications such as TELUS T.V. We have been very clear that it is our objective and our fair right to obtain the majority of the growth in the market, given that we, through a later start, enjoy a minority at the cumulative base, and that is not a normal situation, and we’re going to rectify it. We have been rectifying that since December and that’s also reflected in the first quarter. So, to that extent, the promotions that we have pursued, whether it be the IPOD promotion or the flat-screen T.V., has been quite successful, and I think also, quite encouragingly, we’ve seen our customer loyalty on high-speed Internet improved drastically over the past year, and so we aim to continue to capture the majority of the share and the growth in the high-speed area.
Vince Valenti: Thank you very much.
Operator: Thank you and our next speaker will be Peter MacDonald, GMP Securities, go ahead please.
Peter MacDonald: This is really for the industry. Basically, I’m looking for some more color separated from residential and business, so each of them separately on what some of the impacts were, and what was the impact from each of them?
Robert McFarlane: Just to clarify was the question with respects to access lines; we got cut off just at the front end of your question?
Peter MacDonald: No, sorry it was on long distance revenue.
Robert McFarlane: Okay, so the question is what are the trends, residential contrast with business markets for long distance revenue?
Peter MacDonald: Yes, basically on the decline, I’m just trying to see where it’s coming, residential or business, and then what are some of the impacts that are driving it down?
Robert McFarlane: Well, the driver of the decline in long distance revenue is on a residential side. In our case, well we do have some erosion on the business side as well. We also have some growth out of region that tends to offset in our wholesale operation. On a residential side, of course, you are having the double barreled effect of reduced usage or volume of minute, and that is because existing customers are using e-mail substitution and you are also losing shares, some are adopting to use VOIP or other alternate carriers, and you are also having a price per minute, just from the competitive pressures out there, decline. So, the combination of reduced minutes, lower pricing is really what’s driving that. Now, we have from time-to-time, had promotions to stimulate long-distance. We may also do some integrated offerings, and I think that our approach to preserve and mitigate the decline in long distance has been fairly successful, and while our long distance erosion now over 8% is certainly higher than what its been in recent periods, it’s a superior result to almost all telecoms that have reported. So, some solace is that we seem to be doing a lot better than others, but it is certainly a declining segment.
Darren Entwistle: One of the things that I think would be worth adding is that, one of the things that has been a successful activity to stave off to a certain extent long distance erosion in the past had been winback campaigns instituted by TELUS, which of course was frustrated when we were challenged by the labor environment, and we have had to redeploy resources towards more critical activity. I think as we go through the aftermath of the work stoppage and wrap our winback activities up again, that will assist us in mitigating to a certain extent, long distance erosion. I think it would be fair to say that the truncation of the winback activities as set out in the Forbearance decision by the CRTC should also augment our winback capacity. The last thing that is probably worth saying is that we do take a very bifurcated view of long distance because when we talk about long distance, we’re talking about just wireline, when of course half of our business today is wireless, and we do generate a good revenue stream and a good profit stream from long distance as it is related to the wireless service, which is of course national. Whereas, the majority of our long distance erosion coming from consumer is ILEC related.
Peter MacDonald: Thanks for that. Just as a follow-up, should the inclusion of 1,000 minutes in Shaw’s pricing for its local telephony impact you in coming quarters? Is that going to have a material impact? And if you can also tell me, on the customers that you are losing to Shaw on the telephony side, what is the percentage of those customers that take long distance from you now?
Robert MacFarlane: Well, in terms of Shaw’s 1,000 minute campaign, I think it’s suffice to say our line losses have been superior or better than those of most other carriers, and I think that’s reflecting some of that competitive resiliency that we have. Certainly, not having a labor disruption underway puts a completely different color on the dynamics in the marketplace in the first quarter going forward as compared what we experienced last year. So, I think price reductions from Shaw is a predictable response, and I think this reflects the resiliency that we have. The specific impact of that campaign is hard to project. I think that at the end of the day, there are so many major trends or only one competitor with one program there. So, it tends to blow around in the aggregate effects, so I wouldn’t think that specific in itself would have a tangible impact that would be discernible.
Darren Entwistle: It also speaks Peter to the efficacy of our TELUS T.V undertaking. Whilst the reason for the TELUS T.V. undertaking is strategic and operational, and with a view towards long term value creation, the extent to which we have a good footprint for TELUS T.V., it does allow us to make sure that there is the appropriate price discipline behavior being injected into the market because we have a reciprocity mechanism versus Shaw.
Peter MacDonald: That’s a good point, thank you.
Operator: Thank you, Jonathan Allen, RBC Capital, go ahead please.
Jonathan Allen: Thank you very much. First, Bob, just a follow-up to earlier. About the head count reductions, I believe there was about 500 or so, what was the timing on that. Had those employees departed in the first quarter? I noticed something in the MDNA about selecting the voluntary departure plan as of April. Could you just clarify that for me?
Robert McFarlane: Well, couple points Jonathan in terms of staff count. The first is, what makes it a little unusual when you look at our aggregate numbers for employees, clearly the wireless side is growing. That is pretty straightforward to be adding employees there. On the wireline side of course, we have significant in sourcing activities, or as we market it, externally outsourcing activities in the sense whether it be our operation in the Philippines or TELUS sourcing solutions here domestically in Canada, we are taking employees onto our payroll as we streamline costs and improve efficiency and effectiveness for other organizations such as Hamilton Health Region, Calgary Health Region, etc. So, the nature of that business to add employees for new lines of business if you will, that were not previously part of TELUS. So, when you normalize for that, the actual staff count in the wireline operations decreased by 2% year-over-year. So, I just wanted to give that overall context. Now, if you go specifically to the restructuring efforts that you are referring to where we were as part of the collective agreement settlement, we had agreement on how to conduct the outsourcing of some non-core activities and the consolidation of a couple of our activities in B.C, which amount to approximately 450 or so bargain unit employees. In this area, we have proceeded on that, however, as part of that agreement, the employees are offered a buyout if you will, but they can chose to remain at the similar wage rate for up to a year, even though they may be moved to another position etc. So, there is a delayed effect if you will to the people reduction and the cost reduction, there is still payback associated with it, but the actual commencement of when you would reap the synergies is delayed in many cases by upwards to one year. I think you are seeing part of that. So, yes, we had some of those activities. We did incur some of the accounting and restructuring costs associated with that, but some of the savings associated with it have yet to commence.
Jonathan Allen.: Okay. A question on wireless data revenues. As you pointed out, it seems like it is lower than where Bell and Rogers is, and it appears to be quite an opportunity. I’m curious though, within the wireless data trends. The trend between consumer and business usage, I’m curious as to what the biggest drivers are right now in terms of SMS, Enterprise, Blackberries, or what have you.
  Robert MacFarlane: Well, in terms of what we’re seeing, in terms of principle drivers, messaging is continuing to increase on an exponential basis, essentially sparked if you will, pardon the pun, from back when the industry got together and allowed interoperable messaging. Ever since that date, we’ve seen exponential increase, so that’s a primary driver. That’s principally consumer related, obviously. I would think that would be the same for all carriers. We’re also seeing music downloads start to take off, and we were probably a little late into that category, but the SPARK program has really positioned us well. We’re seeing good uptake in that regard, so from a consumer side those would be two of the major categories. On the business side, where we’re seeing quite good traction is with the EVDO cards and these are primarily the CR wireless cards in fact. So, we have a competitive advantage for the time being with respect to speed technology and coverage, and we’re seeing some good traction. In our case, if you call it the Blackberry-type of messaging, certainly it’s an important revenue stream, but part of why we’re at 371 and some other Rogers would be higher is that GSM technology has been advantaged in respect to some of the applications that have been available on devices in the past, and most notably Blackberry was available. The rim product on GSM for over a year in advance CDMA including , so I think they did quite well in exploiting that advantage going back two years or so ago. It remains a strength for them. We’re doing a bit of catch up, and that would be part of the explainer in terms of the differential between existing ARPU’s. As you can see, we’re certainly growing significantly year-over-year. We’re trying to take a more transparent approach to the market and show you what our data ARPU is, and we will continue to report that on a quarterly basis, so you can see our track performance in that area.
Jonathan Allen: We appreciate the extra disclosure. I’m curious though, other carriers, the mix between business and consumer data has been I guess on average both 50%. Would that be similar for TELUS?
Robert McFarlane: I wouldn’t say that is the case. I don’t necessarily think it’s healthy to get into that level of detail. What I would say is if you look at those advertising programs that I mentioned to Dvai’s question earlier, broadband the fly clearly was a business orientated marketing of EVDO and SPARK is a consumer orientated application. So, it’s a dual barrel thrust, and we’re seeing significant uptake in both elements and both are important target markets for us. Darren, would you like to augment?
Darren Entwistle: Yes, I would. I think three points are worth triangulating Jonathan. First, you’re going to be picked up on the upside opportunity in our ARPU as it relates to the nature of the progress on data and the upside opportunity to increase data revenues within our wireless revenue stream to the benefit of our ARPU and certainly relative to the other carriers. That is an upside opportunity to us. I would also say that we’re triangulating the upside opportunity on the business front. If you look at the market share of wireless business customers, you would frequently have a look at TELUS being a distant third in terms of business market share on the wireless, particularly if you look at the Ontario and Quebec markets where a disproportion of the Canadian business base is placed. When you add the third element to the triangulation in terms of upside opportunity, of course it’s the advent of wireless local number portability, which should come to fruition in the first quarter of 2007. Clearly, if you are looking at data upside opportunity and are disproportionately low market share within the business wireless market, a significant opportunity for us once the level playing field is established with the advent of number portability that gives TELUS some good upside opportunity to pursue on a profitable basis. I think if you look at the strength of our operation, whether it’s customer retention and loyalty or the performance of our network, which has frequently been rated number #1 in all of North America, and as well the extensiveness of our network coverage from a footprint perspective, we have all the operational tools, and certainly the brand to do very well within the wireless business markets. Certainly, we have been frustrated in the past, as the number three player by the lack of number portability. So, while number portability is a double-edged sword, it would be fair to say that from our position in terms of upside opportunity, one edge is sharper than the other, and that’s in our favor as we’re allowed to bring our brand and our operational competencies to bear to capture our fair profitable share of the business wireless market going forth.
Jonathan Allen: Thank you very much.
Operator: Thank you, Marje Soova, Goldman Sachs, go ahead with your question please.
Marje Soova: Thank you, my question is on wireless guidance. In terms of net adds. Your net adds in Q1 were up 15% year-over-year, whereas you kept your wireless net add guidance for the year over 550,000 which compares to 2005 a full year report of 584,000. I was just wondering if you could talk a little about what you expect the trends to be if there is a threat of a slow down net adds for the rest year? Or are you just being conservative given one quarter doesn’t necessarily make a trend? Thank you.
Robert McFarlane: I think it really relates to your last comment. In the wireless arena, typically in our experience first quarter corresponds to somewhere between 18 and 20% of annual net adds. So, from that perspective it was a very good quarter in terms of loading for us, but to extrapolate that performance throughout the entire year is probably a little premature. Wireless is so back ended into the fourth quarter, that it can make or break a year. So, I think it’s maybe a conservative approach. We do have a greater sign there, so we’re not saying it’s 550,000 on the nose, but we’re also not saying necessarily that we’re going to maintain this pace.
Marje Soova: Great thanks.
Operator.: Thank you, John Henderson, Scotia Capital, go ahead please.
John Henderson.: Thank you, for Darren, I’d like to circle back to this income trust. It’s a very important issue and would lead to substantial upside in your share price. I think street estimates are in the $70-$80 range for TELUS as a trust. I just wanted to see why you wouldn’t consider it. Clearly, there is value upside there, why you won’t consider conversion in as early as 2007 as that’s when the tax liabilities really get started?
Darren Entwistle: John, I don’t think people are well served elaborating on responses to income trust questions. I feel comfortable with the response I’ve provided thus far, so with respect, and I don’t mean to be evasive on your question, I think I’d like to draw a line under it there if you don’t mind. I think there is significant growth still to be realized with the organic strategy that we’re pursuing. It is quite a contrast to other organizations that have to try and augment the share price through more financial engineering. We still have an excellent strategy with latent potential yet to be mined, and I think I’ll just draw the response to a close here. If Bob wants to add any additional color, I let him do so.
  Robert McFarlane: My color would be maybe, John, ask the CEO of Scotia Bank why he should or shouldn’t convert to an income trust. I’m sure he could educate you on some of the pros and cons.
John Henderson: Thanks Bob, I’ll try that. I wonder if I could just follow-up then, I struck out on that one, on your costs for the backlog. Is it fair to say that the overtime costs are dealt with now that the backlog has disappeared? In the Q2 we should see the recover?
Robert McFarlane: John, the question with regards to backlog of what?
John Henderson: Strike related backlog costs that were incurred in Q1 resulting in higher overtime costs and outsourcing and so on. Is that behind us?
Robert McFarlane: Yes, that is behind us. I think we clearly aimed to maintain our service levels at high levels, so that’s not a one-time thing. But the rush or intensity of activity to get there certainly should be behind us. Having said that, we certainly are facing cost pressures that are pervasive I guess in the wireline business. So incumbent upon us is to pay attention to efficiency opportunities and to renew the push on our competitive efficiency programs. So, I think that’s maybe an implication if you will. While there is a bit of a one-timer aberration in the first quarter, there is a sustainable pressure there that we need to as managers pay attention to and take actions against. So we aim to do that.
Darren Entwistle: I think one of the things that investors should take away from the call is that both yesterday, and again today, Bob did an excellent job of repeating the fact that we stand by our guidance for the full year of 2006 and you should draw inference from that in terms of the cost profile for this organization going forward. The other thing that is worth pointing out is that the one element that will be recurring in terms of the efficiency of this organization, is the implementation of our operational efficiency program, which of course one component of that program is the new labor contract that we were capable of instituting, and I think it would be fair to say, and we’ve discussed this previously with investors, that in terms of the investments that we make to reduce costs through our operational efficiency program, they typically have a payback profile of 18-24 months. Clearly, the money has to go in first in terms of investment to realize the cost reduction, and then thereafter down the line, the cost efficiencies come to fruition. So, we do have a staggered or deferred profile to that, and it is going to happen on a recurring basis as we drive efficiencies principally through the new labor contract.
John Henderson: Very helpful, thanks.
Operator: Next question is from Jeffrey Fan at UBC Securities, go ahead please.
Jeffrey Fan: Yes, thanks very much. I just want to follow-up on the wireless cost question. I think Bob, you alluded to this that Rogers is sort of being undisciplined out there with the RAZR and some of the promotional efforts. I guess my question is, if we compare the results, your COA went up a lot more than theirs, yet it looks like they’re getting a fair share of the postpaid subscribers in the quarter as well. Can you help us understand what we’re missing here? Is it the GSM versus CDMA advantage that you’re seeing flow through some of these numbers that’s causing some of the promotional efforts on their front?
Robert McFarlane: Sure, well, essentially, if you go through the handset, typically the GSM has had handset price advantage. On the case of Rogers, they have chosen to take a product that they had uniquely at a differentiated advantage and have it as a discount. That of course forces Bell and TELUS to respond in order to remain competitive in the market place. The second aspect, shall we say of marketing or competitive dynamics goes to your pricing on year time revenue. So, essentially what Rogers is doing is discounting on a postpaid basis to drive postpaid adds. One simple calculation that one can make is just take the respective carriers ARPU and divide it by the minutes of use. If you do that calculation, you know who the discount operator is in the market place. So, the extension of the footprint by Rogers to the final brand and then the attempt by them to say we’re going to capture market share by virtue of having two brands is something that I think is ill founded. It is met with competitive response certainly by ourselves, and when you look at the COA as a percentage of lifetime revenue at under 10%, that is an outstanding result, and that’s where we are, and that’s not where our competitors are. So, , and your average price per minute, which is your ARPU divided by MOU, and I think that will tell you who is leading the price charge out there and who is the value added operator. So, we certainly have nothing to shy away from, and at the end of the day when you do increase COA and absolute dollars like we did, you should see some good loading, and we had great loading, so I think where we can take more comfort is that fact that our advertising promotion efforts have been quite successful.
Jeffrey Fan: On the price per minute, just to follow-up, if you look at their numbers I guess it is down quite significantly, but we are seeing pretty significant increase in usage as well, which is kind of offsetting the price decline. In your case, we’re seeing usage not picking up that quickly, so is there any elasticity potential for you to take as well to get usage of it, even though that it might drive prices down, you’re getting ARPU net increase?
Robert McFarlane: Well, I don’t want to turn this into a debate, but I have a tough time understanding the other side of the argument in the sense that when we are by far and away the highest ARPU by a country mile, and we’re increasing our ARPU by about $2.00 year-over-year, certainly to say that the other party is having higher minutes and driving the ARPU means they’re throwing away minutes. So, the Rogers organization, to my calculation has a price-per-minute that is one-third lower than that of TELUS. There is one hell of a differential. So, from that perspective, certainly, I think there is an opportunity for the industry to do much better for the benefit of all shareholders, but that has to start with an organization other than ours.
Jeffrey Fan.: Thanks Bob.
Operator: Thank you, Glenn Campbell of Merrill Lynch please go ahead.
Glenn Campbell: Yes, thank you and good morning. Darren, I had a question on the outer region strategy. You said a few conference calls ago, that it is getting significantly bigger and it would be very useful for TELUS, and since then we’ve seen Rogers and Bell launch with the Inukshuk data offering, potential voice offering in your region. What is your thinking about the potential and merit of getting into the consumer market in Central Canada, and could you comment as well on using wireless as a way of differentially driving substitution wireline replacement outside your own region?
Darren Entwistle: Presently Glenn we think that organically there is more than sufficient potential still to be realized in addressing the business wireline market in Ontario and Quebec, and that’s where we want to concentrate our focus. We do not want to dilute that focus by expanding into the consumer market in Ontario and Quebec at this particular juncture. I can tell you, historically and globally if you want to be a successful competitor against a strong incumbent, then you have to be very focused in your approach and make sure you differentiate yourself on factors other than price. Of course, we have a nontrivial technology advantage as part of our new entrance strategy and our focus on data solutions into the business market. I think trying to compete against a strong incumbent across all product lines across all geographies and across all markets is not a particularly well-founded strategy. So, I’m not ruling out going into the consumer market in Ontario and Quebec, but at this particular juncture, I think the first priority for organization is to carry on with our data strategy into the business market. As you said, I didn’t describe it as getting significantly bigger, but to be exact my words were we are still desirous of achieving greater scale in the world of telecoms economics scale means that we can improve the ROI for our investors. In terms of what we would do on the wireless front, we would see that potentially as a complementary component to both our outer region strategy and what we might like to do in region. So, to give you an example, I’ll give you three examples on how we may use it. Number one, clearly one of the market opportunities that is available to us in Ontario and Quebec where the competitive intensity is less is in the medium business market, where they have enjoyed probably the least amount of benefit from liberalization and completion. A market that has not always been traditionally well served. So, I think there is an opportunity for us to make a good economic gain addressing the small to medium enterprises in Ontario and Quebec, and the extent to which we can use wireless technologies to expand our footprint, our economic footprint what part of the market is economically addressable for us in terms of our access technologies. That of course to complement the wireline investments that we have made in terms of infrastructure in Ontario and Quebec. Second element of wireless that I think is also complementary to our strategy would be to assist with our on-net connectivity to branches of Canadian corporations that are strewn across this country. So, as we implement fields like the TD Bank or the Cooperators or Imperial Oil, or anything else that we do of that nature, where we are contracting with a corporation that has a multiplicity of sites across Canada, the extent to which we can use the economic advantages of point to multipoint wireless technology to put more of the branches on net and improve the economics of the deal, then that’s another very advantageous situation for us. The third area for us in terms of fixed wireless, that’s what I would call it, would be within our region to the extent to which we can expand our coverage of high speed internet to more rural and remote communities, perhaps leveraging some of the dollars that are now available for us through the deferral account.We may want to use the access technology of fixed wireless point to multipoint with it’s cost characteristics as the mechanism for expanding our high speed internet foot print into the more rural areas of Alberta B.C., Quebec and draw down on the funds from the deferral account to help bring that particular development to fruition.
Glenn Campbell: Thanks and just one follow-up. I was also curious about the potential to use your mobile wireless which a differentiated pricing strategy, which seems to be a logic to doing that given that you’ve got no wireline consumer business to defend right now, if I’m not mistaken your pricing is pretty similar in region and out of region. Do you have any thoughts that that might change?
Darren Entwistle: I don’t think disclosing anything on that would be appropriate. It does suffice to say that in terms of our national pricing profile right now, we’re satisfied with it. And again in terms of the consumer market in Ontario and Quebec, we’re not saying never, and it may take the form of a variety of approaches, but I think we would be well served to remain focused and concentrate on the wireline business opportunity that we still have to bring fully to fruition.
Glenn Campbell: Thanks very much.
Operator: Thank you, Vance Edelson, Morgan Stanley, please go ahead.
Vance Edelson: Thanks, could you comment on your progress on getting wireless subscribers to your 3-year contracts, the percent of base that’s on contract and maybe the percent of gross adds that are agreeing to sign? Thanks
Robert McFarlane: Well, on the postpaid variety, all our subscribers that come on are on contract. The vast majority being in the 2-3 year timeframe. In terms of the percentage for existing base, I don’t have that on hand because it hasn’t been an issue for us for some time. I believe that it’s in excess of 90%.
Vance Edelson: Okay, and as a higher percentage of the base gets on contract, your term is already quite low, do see potential to move it even lower?
Robert McFarlane: I think that the impact from contracting has really taken the numbers over the past 2-½ years. So, the decline that was experienced was somewhat, or an important factor in driving that, was increased contracting efforts. As well, we’ve seen a reduction in turn rate in our prepaid base, so that’s a non contracted base, and in that front, I think we’re experiencing some progress, but there’s still some potential upside there, when our postpaid churn is under 1%, just under at 0.99%, I’m not sure when we can count on that getting much better that that, but we do have the opportunity to continue to improve the churn on prepaid, which would lend some upside potential, although it would be modest in respect to our 1.33 overall blended rate today.
Vance Edelson: Okay, and just a quick follow-up on an earlier question, the overall ARPU is strong, it is partially driven by data, is the iDEN customer base experiencing trends. Is iDEN participating in the ARPU strengths, or is that kind of holding you back from ARPU data related expansion perspective?
Robert McFarlane: We’re seeing similar increase in ARPU. Interestingly, we had increases in ARPU on postpaid, and whether that be or was across the board. Clearly, on the data front, we’re seeing more of a bump on the CDNA product. One reason is the consumer element we referred to earlier, really is a PCS orientated dynamic as opposed to iDEN, and secondly EVDO push in terms of broadband the fly has been more of a PCS orientation building off of the EVDO. But what we continued to benefit from is the great install base, and unique and more advanced functionality of TTT on iDEN that continues to reap some gains there, but I would say that the trend has been more towards PCS than iDEN, although both are up.
Vance Edelson: Okay, thanks Bob
John Wheeler: We’re well through the hour here, so, we’ll take one more question and that will be it, thank you.
Operator: Thank you and our last question will be Peter Rhamey, BMO Nesbitt Burns.
Peter Rhamey: Thank you and good morning. The follow-up to a previous question, and then another question. First off, Darren you talked about your out-of-market strategy, longer term conceptually I recognize, but to do fixed wireless you need spectrum. I was wondering, could you comment on do you have sufficient spectrum to contemplate this or do you have to go out and secure it some other way?
Darren Entwistle: Yes, we have spectrum for fixed wireless purposes.
Peter Rhamey: Out of region?
Darren Entwistle: Yes.
Peter Rhamey: Okay, thank you. My other question has to do with your out of region performance in the quarter. It came in below my expectations, and I recognize that within the non-ILEC revenue you have CPE, and probably some upfront service revenue that you recognize causing some volatility, but could you give us some sense of what the recurring revenue stream trend is for that business, and the recurring profitability trend, and how that might be proceeding? Thank you.
  Darren Entwistle: Peter, it came in below my expectations as well. So, if you look back historically at a non-ILEC business, it has not been a linear path of success to say the very least, and its reflective of the fact that when you’re going after business customers, you experience business cycles. Certain contracts come up at certain times, and that really dictates the degree of the competitive intensity. I think it would be fair to say that this quarter we were a little bit softer than what we wanted to be on both the revenue growth front, and on the EBITDA front. I think it would also be fair to say that it’s best described as growing pains. As you establish a significant presence in the market, with $600 million of revenues over a six-year period, some of those contracts start to come up for renewal, and in this particular instance, when you’re facing contract renewals and customers are very aggressive from a pricing perspective that’s a factor that’s beginning to get reflective in your base, and that’s a challenge to the future growth that you want to bring to fruition. But, I would say that in terms of the East, for us, it goes in fits ands spurts, and I’m still confident of course that our data strategy and our focus, our strong concentration and focus on the business market will pay dividends, but certainly its not going to be a linear track to success for this organization in that particular area. There are certain contracts that are coming up for bid going forward where TELUS again will take a strong and a prudent position, and hopefully we can secure some of the those contracts, and augment both the revenue and profitability going forward.
Peter Rhamey: Without getting into quarterly forecasting in this component of your business and longer term to growth outlook does look good, is this a one quarter event, or when you look at these new contracts that you could bid on, obviously you can’t recognize the revenue for another six months after that?
Darren Entwistle: I think the best answer to that is that contracts that come up for bid clearly they won’t have an impact in year in terms of revenue. That’s all part of the longer term growth story of getting some of our scale objectives to accrue the ROI. I think the best answer to your question, to avoid giving quarterly guidance if you will, is the hard fact that once again we are reiterating our full year guidance across the board. So, we are standing by the revenue and EBITDA projection that we have set out for a non-ILEC business, and I think that is the best element or best set of parameters for you to draw inference from as to how we feel about Q2, Q3, and Q4.
Peter Rhamey.: Great, thanks very much Darren.
John Wheeler.: Okay, I think that’s it.
Darren Entwistle: I would like to thank investors for joining us today, and I would say perhaps one positive indication of the future for this organization from a labor perspective is that we had a well-orchestrated AGM that went exceedingly well, and for the first since my tenure back in July of 2000 we had an AGM where labor was not a feature at the AGM, and hopefully that bodes well for a constructive and healthy relationship on that front going forward. Thank you.
Robert McFarlane: Thank you everybody.
Operator: This concludes the TELUS First Quarter Investor Conference Call. On behalf of myself and the rest of the conferencing team, thank you from TELUS.
 Copyright policy: : THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY’S CONFERENCE CALL AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE CONFERENCE CALLS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY’S CONFERENCE CALL ITSELF AND THE APPLICABLE COMPANY’S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS.
 You may quote up to 400 words of any transcript on the condition that you attribute the transcript to Seeking Alpha and either link to the original transcript or to www.SeekingAlpha.com. : THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY’S CONFERENCE CALL AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE CONFERENCE CALLS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY’S CONFERENCE CALL ITSELF AND THE APPLICABLE COMPANY’S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS.